Operator: Good day, everyone and welcome to the Nexstar Broadcasting Group's 2014 Fourth Quarter Conference Call. Today's call is being recorded. All statements and comments made by management during this conference, other than statements of historical facts, maybe deemed forward-looking statements within the meaning of Sec 21 of the Securities Act of 1933 and Sec 21-A of the Securities and Exchange Act of 1934. The Company's future financial conditions and results of operations, as well as forward-looking statements are subject to change. The forward-looking statements and comments made during the conference call are made only as the date of today's conference call. Management will also be discussing non-GAAP information during this call in compliance with Regulation G. Reconciliations of this non-GAAP information to GAAP measurements are included in today's news announcement. The Company does not undertake any obligation to update forward-looking statements reflective of changes in circumstances. At this time, I'd like to turn the conference over to your host, Nexstar President and CEO, Perry Sook. Please go ahead.
Perry Sook: Thank you, operator, good morning everyone. I know it’s a busy day for those of you on the call. Thank you for joining us today on my birthday to review Nexstar's record fourth quarter and 2014 financial results and to discuss several recently completed transactions that we believe will drive future free cash flow growth in 2015 and beyond. The much younger Tom Carter is also here with me on the call this morning. I’d like to start off by just hitting a few of our highlights for 2014, 2014 was another record year for the Company and by adhering to our long term playbook we achieved outstanding financial growth and set the stage for continued near and long term growth. Our key highlights include; further expanding our platform and scale; completing the accretive acquisition of 12 TV stations within the year and two complementary digital businesses; successfully renewing retransmission consent agreements with over 200 MVPDs, representing about 40% of our subscribers including several major MVPDs in that mix; and doing so we extended our record of uninterrupted service in our markets for 10 years. We entered into long term affiliation agreements with one of the top four networks at the end of the year. We maximized our political revenue opportunity in on markets with over $64 million of full year political ad sales. We increased our annual return of capital through dividend payouts and managed our capital structure and cost of capital to finance our near and long term growth and we entered in -- during the year entered into agreements to acquire stations in Phoenix and Las Vegas and Des Moines all in accretive transactions. The value of our strategies and initiatives are reflected in our fourth quarter and full year 2014 results which include strong growth across all financial metrics with both in the quarter and full year representing the highest levels in the company’s history of revenue, adjusted EBITDA and free cash flow. The combination of the 39.6% rise in fourth quarter net revenue with the operating leverage in our model and the synergies realized to our efficient integration of our acquired entities so far fourth quarter BCF EBITDA and free cash flow increases up 70.9%, 73.8% and 116% respectively. For the quarter free cash flow reached 65.2 million bringing our 2014 total free cash flow to $159.7 million. And through the prudent management of our capital structure and our financing strategies we still have their 30.8 million basic shares and 32 million fully diluted shares outstanding meaning that we continue to build our record of consistently delivering free cash flow growth per share. Illustrating our long term record of growth driven by our operating disciplines in our select strategic accretive station acquisitions, the company’s two year reported free cash flow for 2013, 2014 reached 244.7 million exceeding our goals and marking 130% increase over the ’11-’12 free cash flow of 114.7 million. And as I indicated a moment ago our recent activities have set the stage for further significant free cash flow growth. Our confidence that 2015 will be another record year of free cash flow from the recent completion of several very meaningful transactions, positive and stable television core revenue ad trends and attractive retransmission and revenue growth in our rapidly expanding digital media operations. We believe that our operation and the recently closed transaction was within approximately $80 million of incremental annual BCF in 2015. As noted a moment ago our 2014 free cash flow was $159.7 million so it’s very easy to understand our excitement of the value we are creating for 2015 and beyond. Looking through the 2015-2016 cycle as noted in the press release earlier this morning, we projected with the addition of the new stations, our recent digital media acquisitions, all in Nexstar will generate free cash flow of approximately $450 million over the two year cycle and that averages out to approximately 725 per share per year. Getting back to Q4 quarterly television ad revenues inclusive of political advertising grew 31.2% as Nexstar’s spot management initiatives including the allocation of the inventories, the political issues and past advertisers resulted in a 23 fold increase in political revenue over 2013 and positive core local and national spot revenue. We continue to project long term GDP like growth for our core and restructured Nexstar’s operating model to leverage our high growth revenue sources including retrans, digital media and political. Our Q4 financial growth again highlights the enormous value of this approach. Reflecting our expanded platform and presence in states with high levels of political activity our 2014 fourth quarter political revenue rose 29% over the comparable 2012 fourth quarter number. Nexstar is now firmly present in key political states with rampant political [partnership] and 2016 presidential elections without any incumbent we expect to see political revenue growth to be even bigger contributor going forward with the likelihood we'll see some initial primary dollars later in 2015. Looking at other categories at ad supported revenue, first our initiatives bring new advertisers to television continue to build on our long-term success as new television ad revenue in Q4 was $7.6 million marking a gain over last year and accounting for 9.8% of Q4 local revenue. Taking into consideration the political inventory allocation for the top-10 categories were up auto finished flat, but showed a low double-digit increase on a quarterly sequential basis and our local auto dealer ad spend was up about 4%. The five remaining top-10 categories finished slightly behind the prior year. Nexstar’s total gross revenue excluding political grew an impressive 17.2% in the fourth quarter that reflects a 54.6% live and retransmission fee revenue to 44.1 million as we recorded gains related to our 2013 renewals and escalators and the increased scale of our platform. Digital media revenue jumped to 114.9% to $14.2 million in the quarter as we saw both organic growth and contributions from IBS and Enterprise Technology Group the accretive acquisitions that were completed earlier in the year. Our intentionally staggered renewals of retransmission consent agreements combined with the rapid growth of our digital media platform resulted in a 74.5% year-over-year increase in total fourth quarter retransmission fee and digital media’s revenue to a combined total of 58.4 million. These higher margin revenues streams complement and leverage our core local television operations and they accounted for 30.3% of our 2014 fourth quarter net revenue, that’s up 24.2% from the comparable 2013 period and 18.4% over the 2012 fourth quarter the last heavy political cycle. Looking ahead with distribution agreement representing approximately 60% of Nexstar’s MVPD subscribers renewed in 2013 and ’14 and another 30% of those subscribers up for renewal in 2015. The ongoing growth from this revenue source in 2015 and beyond is highly visible to us. Similarly digital media revenue growth in 2015 will further benefit from our 2014 accretive acquisitions as well as the recently completed acquisition earlier this quarter of Yashi. Yashi’s targeted and programmatic video technology combined with our existing digital offerings further expand the innovative multiplatform marketing solutions that Nexstar is able to offer for local and national advertisers agencies and other digital publishers. And by hearing our disciplined acquisition and integration criteria and we acquired a profitable and fast growing online video advertising business at an attractive pro forma EBITDA multiple. For the year we booked $46.7 million in total digital media revenue, that's a 51.4% increase over 2013 and with Yashi we expanded the digital business portfolio to over $75 million annual run rate. We continue to target $100 million of digital media revenue and we believe it's safe to assume that that goal line is in sight. Our focus on near-term and long-term free cash flow growth as the driver of enhanced shareholder value remains the foundation of our playbook and I am proud to lead our talented teams as we have advanced Nexstar’s as an innovator of change committed to serving local markets and our shareholders. Before I turn the call over to Tom for further detail on our financials and capital structure, I will conclude by saying that 2014 -- I am sorry 2015 is after a good start we continue to see attractive potential acquisition target have them in the pipeline and that we can closing the significant transaction is very positive for our free cash flow and our visibility remain excellent. With that I will turn the call over to Tom.
Tom Carter : Thanks Perry, and good morning everyone. I will start with our review of Nexstar’s Q4 income statement and balance sheet data, after which will provide an update on our capital structure and details related to the pending transactions. First of all with regard reported results. Net revenue for Q4 of ’14 is a 192.8 million almost 40% increase over Q4 of ’13, 138.1 million. Core revenue which we defined as local and national was 108.3 million versus 107.9 million the previous year. Local revenue was up 2.8% to 77.2 million and national revenue was down 5.3% to 31.1 million. Political revenue as I am sure everybody knows was up meaningfully to 35.4 million for the fourth quarter of 2014 and 65 million plus for the year. Retransmission fees were up 64.6% to 41.4 million from 26.8 million in the previous year. Digital media revenues were up 115% reflecting many of the acquisitions that we made to 14.2 million for the quarter. Broadcast cash flow was up 70.9% to a record 94.5 million as was a record fourth quarter adjusted-EBITDA of 86.6 million which was up almost 74%. Free cash flow for the quarter was 65.2 million up 116% from the prior year’s 30.2 million. Just one thing of note in the fourth quarter as previously mentioned we closed on the grand acquisition on December 1st, those stations contributed approximately $3.6 million in net revenue, $1.7 million in broadcast cash flow and $300,000 in net income to the consolidated results for the quarter. Local and national revenues were impacted by approximately 5% of our highest value ad inventories being allocated to political spots in the fourth quarter. On a same station basis, net revenue was up 30.2%, gross revenue excluding political was up 9.7% on a same station basis, core revenue was down 2.1%, retransmission fees were up 59% on a same station basis and digital media revenues were up 12% on a same station basis with broadcast cash flow increasing 61%. Throughout Q4 and 2014 we remain disciplined in managing cost and addressing our capital structure, our leverage and our cost of capital as complements to our operating strategy and focus on driving free cash flow. Fourth quarter direct station operating expenses net of trade expense and SG&A expenses rose 31.5% and 9.5% respectively. The increases reflect higher variable cost relating to the higher local and political revenues and the operations of acquired station and digital assets. On a same station basis fixed cost excluding affiliation fees and sales expenses were up 4:10s of 1% over Q4 of 2013 as we continue to aggressively manage our controllable expenses. Nexstar’s fourth quarter corporate expenses were 8.9 million which were slightly below what we have projected and up which 6.8 million with cash flow from overhead which was again slightly less than forecasted. This compares to corporate expenses of 6 million a year ago and $0.5 million of which were non-stock option expense. The increase reflects increased staffing and infrastructure [technical difficulty] our expanded platform as well as $1.6 million increase in non-cash stock comp expense. Also during the quarter we incurred a like amount $1.6 million of unbudgeted corporate expenses relating to legal and professional fees to restructure the transactions that have closed and to address recently regulatory changes. For 2015’s first quarter we project corporate overhead will approximate 11 million to 11.5 million inclusive of in transaction expenses while cash corporate overhead will be in the 8 million to 8.5 million range. Corporate overhead for Q1 includes the fair amount of transaction expenses as is expected as it relates to the Grant CCA, Phoenix and Las Vegas closings as well as the financing that was executed on earlier this month. Additionally we anticipate having transaction expenses in 2015 associated with taxes on the required station divestitures of the properties that we purchased. As currently contemplated the gains in taxes will not run through the income statement due to the divestitures occurring concurrent with the purchase. The taxes which were not able to be offset by our NOL amount to approximately $25 million and will be reported as part of the supplemental data presented on the statement of cash flows. The company will not be including that portion of cash taxes attributable to the asset divestitures in our calculation of free cash flow due to their non-recurring and transactional nature. Turning to the balance sheet, I will review the key items as we close 31/14. Net leverage was 4.4 times based on the covenant calculation versus a permitted covenant leverage of 6.75. The first lien leverage was 2.41 versus a covenant of 4.0. Actual total leverage was approximately four times as the amount of cash that we’re able to net in calculating the leverage ratio for compliance purposes is limited to 75 million. Whereas we actually had 174 million in available cash consolidated on our balance sheet as of 12/31/14. If you remember two days after that was the date that we closed CCA so we have prefunded large amount of the CCA transaction at year end even though we couldn’t net that for covenant purposes. Nexstar’s outstanding debt as of 12/31/14 consisted of first lien debt of 710 million comprise of roughly 5 million outstanding on the revolver and $705 million in term loans. We did borrow $143 million during the quarter as we funded the $80 million Grant transaction and as I mentioned before prefunded a fair amount of the CCA acquisition. At year end the six and seven eights notes had an outstanding balance for GAAP purposes of $525.6 million. Total debt at 12/31 was 1.236 million and as I mentioned before we showed $132 million of cash on the balance sheet and we had $43 million of restricted cash not shown as cash on the balance sheet but was available to fund the CCA acquisition shortly thereafter. There were several capital structure changes in the quarter that I want to talk about, most recently on January 2nd we closed $270 million on the CCA transaction. We acquired [$27 million] of deposits along with $95 million drawn on our revolver and the $174 million of cash that I mentioned previously. Then when we closed in on that acquisition the same day we turned around and divested the CBS affiliates in Evansville for 27 million and on July -- on January 29th we completed the sale on the issuance of 275 million of 608th senior notes due in 2022. The Notes were priced at par and the senior unsecured obligations carried past due with the other senior notes to [six and seven eights]. The years in net proceeds of that offering and cash on-hand to fund the acquisition of the television stations in Las Vegas and Phoenix for a total consideration of 213 million and Yashi for 33 million and to pay related fees and expenses. The $29 million balance of the net proceeds was used to reduce the revolver. Reflecting these recent transactions in the [six and an eight percent] note issuance we presently have approximately 41 million outstanding on our revolver and 705 million borrowed on the term loan. Back to Q4, total interest expense was 15.9 million which is essentially flat for the same period in 2013. Cash interest fell slightly but as we essentially 15.2 million in both Q4 of ’14 and Q4 of ’13. Looking at the current capital structure Nexstar’s weighted average cost of borrowing has decline to slightly an excess of 5% from quarter-end 930 levels of five in a quarter percent that due to the draw down in the term loan A for the large part. Nexstar’s Q4 CapEx is 6.5 million compared to a Q4 ’13 CapEx of about 4.4 million, full year CapEx was 20.3 million essentially on our forecast of the $20 million CapEx. For the full year of 2015 we are budgeting CapEx of approximately 24 million inclusive of upgrades in the fixed assets for acquired stations they are building in studio projects as well as HD news upgrades. We are now tired of saying that our results continue to demonstrate we are successfully managing our broadcast in digital media M&A and integration activities the top-line fixed and variable costs and the balance sheet for cash while taking action on additional selective accretive acquisitions and other actions that enhance shareholder value. And just to reiterate we are on track to deliver the synergies originally anticipated on our recent acquisition. The combination of our operating expenses and the accretive station transaction has positioned Nexstar to return capital to shareholders through cash dividends while reducing leverage throughout 2015. Tomorrow we will pay the first quarterly cash dividend for 2015 of $0.19 per share on our Class A common stock following the Boards authorization last month to increase the quarterly cash dividend by 26.7%. Importantly, we believe the total annual capital allocation for dividend for 2015 of approximately $23.7 million relative to our projected free cash flow continues to afford the Company the liquidity and financial flexibility to further expand our marketing solutions platform through additional accretive station and digital media acquisitions, while maintaining leverage and pursuing other initiatives that enhance long-term shareholder value. In summary with expectations for 2015, ’16 the free cash flow of approximately $450 million for the 24 months period and our balance sheet capital structure and cost of capital in great shape we are well positioned to pursue additional accretive value creating transactions and return capital to shareholders while simultaneously keeping our leverage at a modest level. That concludes the financial review for the call, and now I'll turn the call back over to Perry for some closing remarks before Q&A.
Perry Sook: Thanks very much Tom. I would like to take just a moment to acknowledge all of my colleagues on -- in the Nexstar organization who continue to advance our organization wide commitments to serving the local markets where we operate, with great local news, event and other local programming while making appropriate classes and operating investments to ensure that we remain the most efficient and competitive diversified media company in our market. Our teams consistently leverage our localizing to bring new entertainment information, services and value to our customers and our advertisers through Nexstar’s traditional media, our digital and mobile media platform, their dedication is reflected in our strong operating results and the strong standing we have in our local communities where we operate. Nexstar’s consistency in driving record results are the direct result of our disciplined approach to the operation of our core television broadcast operations, our commitments to revenue diversification initiative and the success that we are achieving in identifying efficiently financing and integrating selective station accretive acquisitions. Our recently completed transactions bring further diversification scale to our operating base and also a very significant incremental free cash flow which has positioned us well to further address our debt and leverage as the year goes on. With significant and growing free cash flow generation a solid capital position and great visibility on 2015 growth drivers Tom and I are both confident that our free cash flow growth story will remain among the most impressive in the industry. With that I would like to thank you again for taking time out for join us today. And now let’s open the call to Q&A to address your specific areas of interest. Operator?
Operator: Thank you sir. (Operator Instructions). And we will take our first question from James Dix with Wedbush Securities.
James Dix: Couple of things I guess just first in terms of the advertising business how does first quarter look in terms of your pacing if you just to the extent you can clear out the impact of political and Olympics and how does that compare to kind of the November-December core pace once you move past that political displacements? And then I guess secondly just in terms of M&A I mean do you think the spectrum auction and how various parties are approaching is having any impact on the pace of opportunities that you’re seeing out there? Is it flowing it down at all? And then I have just one housekeeping question as a follow up. Thanks.
Perry Sook: Thanks James. First of all as Tom mentioned approximately 5% of our total inventory in Q4 was allocated to political advertisers so Tom also reported our core ad revenue and Q4 was down about 2% but that was at 95% of inventory utilization compared to the prior year which is pretty typical in a fourth quarter of political year. December was virtually no political was our best core revenue month of the back half of the year. As it relates to first quarter there are a couple of moving parts, we would take out the incremental Olympic revenues, pick up the Olympic revenues at 50% because we believe at to be 50% incremental add back the performance of our NBC affiliates over our Fox facility for super bowl ’15 versus ’15 and then if you remember back in Q when we reported Q1 of ’14 we had an 11% growth in national which was driven primarily by an annual advertiser pulling forward second quarter commitments into first quarter and we I think said at the time that that would be a typical and they’re placing their spending for the first quarter of this year at a more normalized rate. When you take those three pieces adjusted core growth would be up about 2%. So that’s dramatically what we see and that’s pretty much what December look like without an influence of political. As it relates to acquisitions we have a couple of tuck in acquisition conversations going on right now in our pipeline and those -- these are not people that are waiting for a spectrum auction or looking to get the ranch on spectrum auctions. And so I would say that there are those that bought stations specifically to ante into the spectrum auctions and I think those folks are -- that is their business plan but I don’t think other folks are distracted by the green hill report or flash numbers from the FCC that’s a long road to go down and most [going] concerned broadcasters are not going to have a tremendous amount of interest in participating the spectrum auction. So our conversations continue to pace.
James Dix: Great, and just one housekeeping thing, I don’t know Tom whether you have any color on just your pro forma figures for 2014 on revenue and EBITDA and free cash flow just as we’re kind of tuning up our models for going forward?
Tom Carter: I don’t have anything at my fingertips to do that but I can try and give you some help I think what I’ve done obviously is give you Q4 same station growth and so you can kind of back into what those numbers were in previous years. But I can try and give you some guidance on that, just don’t have the numbers here.
Operator: And we will take our next question from Marci Ryvicker with Wells Fargo.
Marci Ryvicker: Your guidance for free cash flow suggests a really nice bump up. Can you talk about where the growth is coming from? Is it primarily retrans, the political, is it expense control any color there would be great? And then as a follow up to that are you anticipating your EBITDA to free cash flow conversion to basically stay relatively stable?
Perry Sook: Sure, couple of things, obviously I think the biggest growth drivers in the switch from ’14-’15 to ’15-’16 are continued growth in net retran which we believe to be a double digit grower in both of those years and quite honestly double digit grower beyond that. And then kind of the switch over from a non-presidential year to a presidential year I would also tell you that having a major presence in Iowa and a major presence now in Las Vegas which we anticipate to be a very active political market in 2016 makes a big difference in those numbers. I think just for modeling purposes our 2012 number and this is just reported numbers were 45 million or 46 million in political and I think we’re going to see that double or more in 2016. Is that helpful?
Marci Ryvicker: Yes, and then the EBITDA to free cash flow conversion, do you expect that to stay relatively stable?
Perry Sook: I would think that it would increase over time because the cost of our debt continues to decline and quite honestly as our leverage declines, less of our EBITDA is going to go to interest expense than it has historically. And then it will be partially offset by -- we will start to become a partial cash tax payer on operating income in 2016 not to a large degree and then greater in ’17 and then a full cash tax payer in ’18. So that will soak up some of the EBITDA but not necessarily in the ’15 ’16 timeframe.
Unidentified Analyst : And then do you have a good corporate overhead number for the year or run rate per quarter in a way?
Tom Carter: I would say the overall is probably 40 or slightly higher. We do have a lot of corporate expenses, the 11 million is not going to be representative of the entire year, because there are quite a few corporate expenses in Q1 just because of the activity we had at the end of the year and obviously in January and February is not only from an M&A perspective but also from a financing perspective. And then the only other additional new bit of information there was the options in restricted stock count could go up slightly in the fourth quarter and so our non-cash will be slightly higher than you saw in 2014. I would say low-40 is all-in.
Perry Sook: The other comment I would add is the digital acquisitions that we made are also growth drivers for the company have made deals with some outside publishers and Yashi has strong organic growth characteristics and so probably in that ’14 ’15 guide we just have a run rate of approximately $75 million on the digital line which is good proxy for 2015 on a run rate basis.
Operator: [Operator Instructions]. We will take our next question from Aaron Watts with Deutsche Bank.
Aaron Watts : Couple of questions for me, Tom I think you mentioned that you have -- you always are keeping an eye on the M&A pipeline but just given where you guys stand in terms of footprint versus some of your peers who are bumping up against the current cash. Would it benefit Nexstar to have another transformative transaction to boost your scale up?
Perry Sook: Aaron I would say we wouldn’t do a transaction just for scale sake, but you are right aty18% of the U.S. we could double the company in fact more than double the company in geographic reach without bumping up against the cap. And there are several companies out there that have similar size profiles up. So if the transaction were beneficial to Nexstar’s shareholders and the byproduct of that was significant additional scale then we would be most interested in that.
Aaron Watts : Okay, and maybe somewhat tide to that thought, but Tom you talked about where you see leverage going absent any kind of strategic moves. In your mind where would you like leverage to live, I mean is it closer to the 3.5, is it closer to 4.5 what’s the right context for Nexstar going forward?
Tom Carter: I would say on a blended two year basis it’s probably in the four times range. So 4.5ish on an odd year and 3.5 on an even year and that may change slightly but somewhere in the low 4.
Aaron Watts : And last one for me, just more bigger picture but as there is more and more kind of talked about how the prime time and cable network viewership is being impacted by fragmentation of viewers, curious what you think the impact could be for the local broadcaster including Nexstar and I guess as an addendum to that how can you benefit from some of the increase over the top options that viewers are going to have? Thanks.
Perry Sook: Sure, we obviously are not Nielson subscribers so we don’t send a lot of time dwelling on or speaking through the numbers. But I would tell you that by enlarge I think the -- lots of audience is primarily a national cable network and not so much broadcast network I think that the broadcaster networks -- again if the business is hit then you see in a good programming original programming live programming continuing to generate huge audiences, we look at prime time contributing approximately 20% of our local revenues and yet there is some time shifting there and some viewing on non-measured devices which may lead to recorded rating declines the way the antiquated measurement system keeps score but most of our big three network affiliates make 50% of their revenue from their local news products, so we're more concerned of how that 10 o’clock lead in effect our 11 o’clock news because the networks are going to take care of their own business. So it is not -- and we have not seen declines in local news numbers like you would see declines in national cable primetime numbers, I mean that’s just not what we are seeing, it’s still is [appointment] television in midsize markets and viewed primarily live. So I think the business model remains intact. Obviously we are spending a lot of time on -- we believe we need to serve the consumer the way the consumer wants to be served and if they’re paying for the signal they should be able to view it on any device that they own, any place that they own it and are using it. And so we believe that it continued push down the road of TV everywhere and other things like that is the right thing to do. I continue to believe that over the past has to do with cultural formation, economics and non-paying subscribers more than any secular trend I do think you will see this kind of nibble around the edges of 1%-2% kind of thing. But we are in discussions, in fact on one of the ownership groups that was asked to negotiate with CBS the affiliate contracts for their all access product and so discussions are ongoing and often. And I think we are getting closer to the point where there will be a public portfolios to participate in that. I think other networks have taken different approaches and in some of those we participate financially and in some we don’t but we have not seen a dramatic change in our non-ABS footprint as it remains around 12% to 13% of our homes view us without the aid of paid service and that number hasn’t moved dramatically in a dozen years, so I don’t think it’s -- much is written about it I am not sure there is a whole lot there in terms of the real trend. And I think that the economy continues to improve, new household formation. I think those numbers expand and contract kind of economically when a kid finishes college and moves out of their apartment back home because they are looking for a job and Tom and I both had those that’s one less TV household and one less Pay TV household temporarily. So I think there is a lot more of that going on than there is a dramatic movement to cut the cord.
Operator: [Operator Instructions]. We will take our next question from Tracy Young with Evercore.
Tracy Young: Just two questions if I could, one's related to CCA if you could just remind us what the incremental revenues and expenses were related to that acquisition? And then in terms of free cash flow so are you thinking about potential digital acquisitions is there something that you want to buy in the digital side or something else we should be thinking about in terms of your free cash flow generation? Thanks.
Perry Sook: As I mentioned Tracy we have a couple of TV station acquisition discussions in the pipeline I would characterize those as kind of tuck under and bolt on in nature and those will always continue. We do spend a lot of time and Tom O'Brien heads up our digital efforts spends the vast majority of his time running around the country looking at promising technologies talking to entrepreneurs and trying to find something that would fit in terms of our local go to market strategy, additional capabilities that we could use to serve local advertiser and if there is an added benefit of being able to white label those products to other publishers like we do with IB, ETG and soon to be YASHI that’s an added benefit as well. And again so from that down through something that is on a pro forma basis accretive to the company it’s a big tunnel at the top and obviously gets very narrow at the bottom as the things that pass all of those tests. But that’s really Tom’s full time job and I probably dedicate 25% of my time to acquisitions in the digital space looking to continue to grow that footprint because obviously that revenue line is growing at rates much faster than the core television revenue line.
Tom Carter: And with regard to CCA I think what we have historically said was at the time of acquisition the first year’s revenue and cash flow was going to be $100 million and $50 million. Now that first year if you remember was 2014 because it took us 21 months to actually get that thing closed so 2015 will be slightly less than $100 million because it doesn’t have political and slightly less than 50 million because there is a lack of political in 2015.
Tracy Young: Thank you.
Perry Sook: Tracy I think that we’ve said earlier that if you add all of the acquisitions which would be Grant as well as CCA, Las Vegas and Phoenix combined we contribute about $80 million of incremental BCF in 2015.
Tom Carter: That’s correct.
Operator: [Operator Instructions]. And it appears there are no further questions at this time. Mr. Perry Sook I'd like to turn the conference back over to you for any additional or closing remarks, sir.
Perry Sook: All right, I just want to thank everyone for joining us today. As I said I know it’s a busy morning with a lot of companies recording. Thank you for your time and your interest and we look forward to recording back to you in about 90 days with the results of 2015 first quarter. Have a great afternoon.
Operator: And that does conclude today’s conference. Ladies and gentlemen we would like to thank you for your participation. You may now disconnect.